Operator: Ladies and gentlemen, thank you for standing by. Welcome to the EchoStar Corporation Third Quarter 2023 Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers are presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today ares conference is being recorded. I would like now to turn the conference over to Dean Manson, Chief Legal Officer. Please go ahead.
Dean Manson: Thank you, Michelle. Hello, everyone. And welcome to our earnings call for the third quarter of 2023. I’m joined today by Hamid Akhavan, our CEO and President; Paul Gaske, our Chief Operating Officer; Jeffrey Boggs, Senior Vice President of Finance; and Veronika Takacs, our Chief Accounting Officer. As usual, we invite media to participate in a listen-only mode on the call and ask that you not identify participants or their firms in your report. We also do not allow audio recording, which we ask that you respect. All statements we make during this call, other than statements of historical fact, constitute forward-looking statements made pursuant to the Safe Harbor provided by the Private Securities Litigation Reform Act of 1995. These forward-looking statements involve known and unknown risks, uncertainties and other factors that could cause our actual results to be materially different from historical results and from any future results expressed or implied by the forward-looking statements. For list of those factors and risks, please refer to our annual report on Form 10-K for the year ended December 31, 2022, filed on February 23rd, and our subsequent filings made with the SEC. All cautionary statements we make during the call should be understood as being applicable to any forward-looking statements we make wherever they appear. You should carefully consider the risks described in our reports and should not place any undue reliance on any forward-looking statements. We assume no responsibility for updating any forward-looking statements. We refer to adjusted EBITDA during this call, the comparable GAAP measure and a reconciliation there too are presented in our earnings release. I will now turn the call over to Hamid.
Hamid Akhavan: Thank you, Dean, and good day, everyone. Our agenda for the call today is as follows; first, will provide a brief overview of financial activity from the third quarter; after that, we will discuss our business strategy, which includes the three parallel work streams that I call Horizons; and our progress on all three. We will then move to a question-and-answer session. But before we jump into the third quarter results, let me briefly highlight the announcement of our contract award with Delta Air Lines signed in the fourth quarter that will star among the leading in-flight connectivity providers. Delta is known to be an industry leader with in-flight connectivity service and for conducting extensive competitive procurements. We are thrilled to have earned their confidence in being selected as a new Delta partner. This new order is a major opportunity within the in-flight communications market that will increase our backlog and diversify our business. This is consistent with my statements in prior earnings calls regarding our continued focus on diversification and growth of our enterprise business. In addition, our Jupiter 3 Satellite is in its final stages of in-orbit testing and the satellite is on a schedule for service launch in December. Now let ares turn to our financials. As we have anticipated nearing the end of Horizon 1, the third quarter marks are low point as we enter our historically strong fourth quarter. Our revenue in the third quarter of 2023 was $413 million lower by $84 million compared to the same period of the prior year. The revenue decrease in the third quarter was partially driven by our consumer broadband business, which continues to be impacted by capacity constraints and other factors as we wait for our Jupiter 3 Satellite to be in service. We also had a decrease in our enterprise revenue primarily due to lower domestic and international deployments and shipments, which we expect to recognize in the fourth quarter and beyond. As I have shared before, most enterprise orders are recognized over several years, which we can create some variation or irregularity in our revenue profile as we saw with the low point in the third quarter. We remain excited about opportunities within the enterprise market, a market that we believe will continue to allow us to better diversify our business both domestically and internationally, and provide cash generation through low capital investment and a scalable operating leverage. We are enthusiastic about our recent performance and a number of near-term prospects in the enterprise market and see that leading to an estimated enterprise backlog approaching $2 billion. Our adjusted EBITDA in the third quarter was $126 million, a decrease of 21% from last year, primarily driven by the lower revenue. We continue to focus on managing our costs to align with the change in the revenue mix to preserve our ability to generate cash. Capital expenditures net of receipt of refunds in the quarter was $79 million, compared to $61 million in Q3 of last year. The increase was primarily due to increase in expenditures on the J3 Satellite program. Operating cash flow, defined as adjusted EBITDA minus CapEx was $47 million during the quarter, $51 million lower than Q3 of last year. We ended the quarter with $2 billion of cash and marketable securities. I remain confident about our strategic direction and expectation and execution plan, and our ability to generate healthy returns and cash to execute on many opportunities that are ahead of us. Let me now turn the call over to Paul, who will provide some additional specifics on the quarter and our Horizon 1 and 2 activities.
Paul Gaske: Thank you, Hamid. Under our Horizon strategy that we have previously explained is dividing our strategic focus into three periods of time, near-term Horizon 1, mid-term Horizon 2 and transformational Horizon 3, we are about to enter our Horizon 2 as Jupiter 3 comes into service later this quarter. We will begin to focus on deploying the next-generation HughesNet service across the Americas and continue the expansion of our global enterprise business, including the government sector and our managed services portfolio. During this mid-term period, we also expect to be launching our hybrid LEO-GEO enterprise solutions, as well as leveraging our own manufactured products to pursue growth and further diversification. Jupiter 3 reached its orbital slot earlier in Q3. The Maxar team has fully deployed all of its antennas and Jupiter 3 is on track to begin transmission testing with our extensive ground system shortly and we expect the satellite to enter into service in December. Once in service, Jupiter 3 will deliver new broadband services in North and South America, and will allow us to focus quickly on addressing the continued demand for high speed broadband service throughout the region. In preparation for the start of Jupiter 3 service, our consumer team is finalizing the development of new service plans with higher speeds and extension of our HughesNet Fusion for the ultimate high speed, low latency satellite Internet experience. We believe the market is eager for these robust offerings and we continue to compete with an attractive portfolio of service plans that will be simple to understand aligned to our customer ares needs. The market has reacted well to our Fusion service offering. We continue to see considerable percentage of our new subscribers select Fusion service, which is available on our highest ARPU plans. The HughesNet Fusion plans have been well received by existing and new subscribers, and we expect to expand the service to help attract new customers and improve our overall economics as we launch Jupiter 3 service. While preparing for the launch of Jupiter 3, we remain focused on operational efficiencies, yield optimization of our North America satellite capacity and further optimization of our subscriber acquisition strategies. Additionally, we continue to improve our cost and performance through the deployment of AI and ML automation, improved processes, supply efficiencies, of course, not compromising the end user experience. Moving to our North America enterprise business. We are entering Horizon 2 with a very significant achievement. As Hamid mentioned, we are thrilled to have completed a contract with Delta Air Lines to deploy our Hughes in-flight connectivity solution to deliver WiFi and video services to passengers on more than 400 Boeing 717 and regional jet serving North America. Our solution utilizes the Jupiter Satellite assets in a very innovative way to provide outstanding in-cabin communication service. We have been working extensively with Delta Air Lines team for a number of months and planned initial installations in mid-2024. This program marks a change in business strategy. After more than 20 years supporting numerous in-flight communications providers with our equipment support, we are now expanding to offer our unique in-flight communication solutions directly to commercial airlines. Regarding the Q3 North America enterprise results, we received several expansion and renewal orders from retailers and upgrade orders in the U.S. retail petroleum market. In addition, Explorer placed a significant order for the terminals that will support their broadband services in Canada using Jupiter 3. In our WebWeb -- OneWeb program, during the third quarter, we continued deliveries of production gateways and systems to meet the OneWeb service implementation plan. We have shipped more than 23,000 satellite subscriber modules for inclusion in OneWeb modems. We are seeing significant interest in our previously announced electronically steered antennas or ESA, from resellers, distribution partners and direct customers. We expect factory shipments to begin this quarter with initial units going to OneWeb for their customers, as well as to customers of our managed LEO service offering featuring OneWeb capacity. Our government and defense segment had a strong third quarter with follow-on orders from the U.S. Postal Service for broadband services in a number of their rural offices, the State of Pennsylvania for broadband services and Boeing for their PTS program along with add-ons to our DoD contracts supporting the Navy for 5G systems enhancements for the Whidbey Island Naval Air Station advanced flight line program, which we had previously delivered in the first half of the year. We also received an order from prime contractor SES Space and Defense in support of a new Air Force multi-orbit LEO and GEO program for our airborne based communications with software-defined networking, opened a new era for our defense-based communications products. Now to our international operations. We expect opportunities in cell backhaul and digital inclusion projects to continue to expand Horizon 2 as companies and governments extend their reach to underserved communities. We believe our Jupiter system remains the de facto standard in broadband GEO satellite communications globally and our new LEO ESA for use on OneWeb allows us to strongly compete for these new opportunities going forward. In Latin America, the new Jupiter 3 capacity will allow us to expand our enterprise services for a number of upcoming such projects. In Mexico, we have seen continued expansion of cell backhaul and digital inclusion projects with additional locations, as well as additional capacity. Throughout Latin America, we have added over 1,300 schools, leveraging our equipment and Jupiter capacity. In Asia, we also see similar opportunities for cell backhaul and digital inclusion projects. As an example, in last quarter in India, we fulfilled the second order from Airtel for 4G backhaul supporting a significant USO project in Maharashtra. We are also upgrading the Indian Army ares Battlefield Surveillance System to Jupiter technology. While in Central Asia, we are -- we were awarded and have delivered a Jupiter system that will provide Internet services to remote communities. And in Southeast Asia, we have received an order for a Jupiter system for use on a high throughput satellite. Lastly, in Latin America consumer business, we look forward to the commencement of services on Jupiter 3, which is expected in the first quarter of next year. This will allow us to serve additional customers in areas with high demand as well as to enhance the user experience for both new and existing customers. Now let me turn the call back to Hamid.
Hamid Akhavan: Thank you, Paul, for the summary of our Horizon 1 and 2 activities from the third quarter of this year. Even though Jupiter 3 has launched successfully, we continue working on all our work streams, Horizon 1, 2 and 3 in parallel. As for Horizon 3, it is our longer term strategy to expand into new markets through organic innovation and potential acquisitions. To that end, earlier today, we filed an update to our S4 registration statement with the SEC in relation to our pending merger with DISH. We expect the S4 to go effective in the coming days and are on track to close the transaction this year. In addition, we continue evolving our S-band prospects as we announced during the first quarter, construction of our EchoStar Lyra LEO constellation is underway. We continue to be on track to launch the first LiDAR satellites in late 2024 or early 2025 to begin offering store and forward Internet of Things, machine-to-machine and other data services. At the same time, we are developing opportunities for our global S-band assets. For example, we continue to bring on new customers in Europe for our EchoStar Mobile LoRa-enabled IoT service and are investing in the development of 3GPP Release 17 to complement the existing LoRa technology. Let me now turn it over to the Operator to start the Q&A session.
Operator: Thank you. [Operator Instructions] The first question comes from Ric Prentiss with Raymond James.
Brent Penter: Good morning, everyone. This is Brent on for Rick. Thanks for the question. First one, on the DISH deal, what milestones are left for closing the deal? And Hamid with you set to become DISH CEO next week as opposed to at the deal close, what should we read from that in terms of the merger timeline?
Hamid Akhavan: Brent, Hamid, here. I will start the answer in the second part and I refer to Dean, who ares on the call for the first part regarding the milestones. Look, there ares nothing more to read regarding my taking a dual role here. I mean, candidly, we have very high confidence that the companies will merge and there ares really no obstacles that we are aware of that would stand in our way of getting the companies together. Time -- it ares an opportunity to make sure that we get a good head start for 2024 ahead. As I mentioned, we just passed the EchoStar, we just passed our lowest point of the performance and we hope that the similar kind of situation develops at this so we can bring the companies together and look for a much more effective and energetic performance into 2024. So I want to just get that head start, there ares budgeting process going on, other things going on. that would allow me to be better in shape to run the business when the two companies are merged. Really, there ares not much more to it to read than this whole ability to at least get the runway started for 2024. Dean, I will pass it to you regarding the milestones left before the merger closes.
Dean Manson: Sure. Yeah. Thanks, Hamid. Brent, yeah, it ares pretty straightforward from this point onward. We just need to mail the information statement to shareholders, weight the prescribed amount of time. There are a couple of small things that remain that should be done well within that time period, such as the pro forma FCC approval for transfer control of certain licenses. But as we said in our public statements, we fully expect this to be wrapped up by year end.
Brent Penter: Okay. And then you announced an unusual move flipping the structure for the merger for EchoStar to be the surviving company now. Can you give us some more detail on the rationale for that?
Dean Manson: Yeah. Brent, I am happy to talk…
Hamid Akhavan: Look, this was the -- no. Dean, go ahead. No. Go ahead, Dean. Go ahead, please.
Dean Manson: Sure. No. I was just going to add that this really was the result of looking at what ares the optimal way to structure the companies that are ultimately going to be merged and operated as one company. So it really wasn’t thought of it being one company acquiring the other, although, as a strict legal matter, that ares the way these things get structured. As we said in the statements we made when we announced the modified structure, this gives us greater flexibility in terms of capital allocation and some of the contractual and debt related restrictions that are in place at the different companies. This creates incrementally more flexibility. So it was just seen as somewhat better, somewhat more flexible structure, but really exactly the same combined company in the end in terms of how we operated and managed.
Brent Penter: Okay. And then, lastly, you talked about the in-flight connectivity deal with Delta, what drove the decision to enter IFC that ares in a competitive market historically and can you also update us on the progress of the Galileo project with Gogo?
Hamid Akhavan: Yes. Let me say something about the in-flight business, and certainly, we will ask Paul to embellish and add to that. Look, we have been -- its use has been in the in-flight business since 2012. We just have not been taking the lead position and we have provided solutions through other parties that have served that market. We have been serving a numerous number of airlines globally around the world and so this was just an opportunity for us to step up and become a direct supplier, an integrated supplier that can provide end-to-end all aspects of the service. So this is not a new -- as I said, it ares not a new area for us. We understand the market very well. We have been -- through third parties, we have been supplier to Southwest Airlines, Air France, KLM, Turkish Airlines, Spirit Airlines, other airlines. And here now, the opportunities here, we look at the market, a market that is today, $1.3 billion, but is expected to be more than $4 billion in 2032. So this is one of the big growth opportunities in the enterprise business. We find ourselves in a very prime position, both from a capacity perspective because of Jupiter 3 arrival and also because of all the great technologies that the Hughes team has developed to equip the planes and provide excellent service. Paul, is there anything else you would like to add with respect to our decision to move to this area?
Paul Gaske: No. I think that ares the main points. I think underneath that decision, of course, is we have ideally situated assets with the Jupiter fleet, which allows us to provide a good service in the regions that we are discussing right now and also because of our extensive activities in the LEO space with OneWeb and our antenna technology there, we think that there ares some seriously good opportunities coming up in the near future.
Brent Penter: Okay. And related to that, could you give an update on where you are in the Gogo project and the timeline there?
Paul Gaske: Well, I would just say, it ares going very well and I would -- I would have to leave it to Gogo to describe where they are in timing for their market. So I will leave it at that, but it is going well.
Brent Penter: Okay. Thanks for the question, guys.
Operator: Please standby for the next question. The next question comes from Michael Rollins with Citi. Your line is open.
Michael Rollins: Thanks and good morning. A couple of questions, if I could. First, the broadband market has evolved significantly since you first started talking about the J3 opportunity. Can you remind us how we should be thinking about, how the push to commercial service later this year and into 2024, can influence subscriber and cash flow results and how much of a possible boost to subscriber performance should be in the back of our minds? And then just separately, in the SEC filing today for EchoStar, there was a reference that EchoStar may operate DISH Networks business in a different manner from how DISH Network has operated in the past. I am just curious if you could unpack that a little bit and share some of your thoughts on how you may want to run it differently? Thank you.
Hamid Akhavan: I will make some statements about EchoStar ares performance next year. I probably cannot add much more than that S4 has already put on the market. With respect to EchoStar, we expect -- we certainly expect growth next year, I mean, in a number of consumers that we have. But I am more excited about the significant opportunities that enterprise brings us above that. We haven’t placed in the consumer market that we think is well within the protection of our pricing and offering that is differentiated than -- where Starlink is operating and we see the market actually be very ripe for the segment that we are addressing. What we are not considering ourselves primarily tied and dependent on our consumer business as it had been in, I would say, many years past, more and more we have seen very large opportunities come our way in the enterprise. Again, the -- I mentioned during the call that we expect our backlog -- enterprise backlog to -- by end of this year, approach $2 billion. That is very significant. As you could see, this is a shift of our business mix towards enterprise. Now enterprise has lower gross margin, but it has far lower CapEx requirements and has far lower churn in the backlog is over the course of many years and once you are in an enterprise business, you generally expect it to remain there. You remain there for many years, very, very sustainable business and has a long -- horizon long life So we see our business shifting in that direction. We clearly see 2024 as a better year than 2023, and in fact, 2023, this quarter was the lowest point that we had anticipated and now from here on, in fact, you will see an improvement in our numbers in all metrics in fourth quarter, even in advance of J3 showing up in terms of revenue, you will see us improving in every metric significantly, particularly in revenue, as has been historically also the performance of the business. As it comes to DISH, I mean, we obviously, a combination of two companies will have a number of opportunities here, for instance, the whole enterprise business, the 5G, private 5G and enterprise 5G will become a significantly better opportunity when we combine our enterprise business here at Echo and EchoStar with the capabilities that DISH has. So those opportunities will become more tangible and more real. I can’t say much more than what we have said on beyond that ares in S4 today, just obvious reasons, but I will -- I guess, I will stop right there and if there ares any more specific narrow questions, I will be happy to try to answer them.
Michael Rollins: Thanks. Maybe just one other follow-up. You mentioned approaching $2 billion of backlog at the end of this year. I think the Q referenced, this is the right comparable $1 billion -- $1.5 billion of contracted revenue in the backlog as of September 30th. So to close that between the $1.5 billion and the $2 billion, if that ares the right comparison. Is that partly the Delta agreement that you disclosed or are there new other incremental agreements or opportunities that we should be mindful of within that context?
Hamid Akhavan: So we are looking at a number of deals and opportunities. As I said, our enterprise business is facing a significant amount of demand from a variety of sources, obviously, in-flight business is one, and there are multiple opportunities there that we are working on and there ares other segments that are not related to in-flight. I mean, we have deals from Far East and other places that are materializing, that are -- in our mind, are very significant. So that ares -- please take that as a basket, don’t take it as any single deal, but we are quite confident that we are approaching $2 billion of backlog by end of the year. Again, what ares really important is not to set every individual component in that. What ares relevant is that our business is very sustainable and this backlog has vastly grown and we are -- we -- it could even grow significantly beyond this as we enter in the first couple of quarters of next year. We are working on opportunities that will manifest themselves in that time frame, we expect them to manifest. So it ares a gradual shift of our business towards enterprise and a very long horizon of foreseeable revenues and cash flows.
Michael Rollins: Thanks. That ares helpful.
Operator: [Operator Instructions] Please standby for the next question. The next question comes from Chris Quilty with Quilty Space. Your line is open.
Chris Quilty: Thanks, guys. Congratulations on the Delta RJ deal that was a surprise given your past business practice is staying indirect and it sounds like you are going to make a bigger commercial aviation push. And that opens up the question, your satellite assets are North American based, do you intend to build out a global service infrastructure, and obviously, that would involve partnering for global capacity or is there a desire to build out that capacity? And then the secondary question to that commercial aviation market is which band? Again, you are Ka-band but you are dealing with Ku on your LEO strategy and there are no Ka-LEOs that exist today. So that ares a lot, but if you can sort of unpack what you are thinking?
Hamid Akhavan: Yeah. Chris, remember that we are just -- we are not purely a connectivity provider as it comes to our services -- enterprise services. We provide a significant amount of technical products, antennas or electrically steered antennas or software that goes into that, there are many, many satellite operations around the world that use our software and services. So without disclosing too much information that could potentially harm us in a competitive way. I would like to say that, we -- while we have direct connectivity of our own satellites in the Americas, we can work with others around the world to provide service and other products to them to make -- to have a bigger play in the in-flight business. So I will just stop there, but we are definitely a global company. Our footprints, whether -- connectivity may be one aspect of it, but a footprint of our products and services are global and that ares how we think that in the ante -- in the in-flight business, we can have a play that is bigger than just the Americas.
Chris Quilty: Good. Speaking of the Americas, Jupiter 3 and correct me if I’m wrong, when you guys architected that thing back in 2014, 2015. I mean, that was five years before LEO broadband ever existed and I think at the time, the plumbing was sort of optimized for consumer. Does that create any issues for serving enterprise markets? Clearly, you found a way to operate it in aviation and I think you made mention of the fact that you did something special in terms of the design. So how flexible is Jupiter 3 if you find the need to pivot more towards some of these enterprise applications.
Hamid Akhavan: Paul, perhaps, you want to comment on that?
Paul Gaske: Yeah. Certainly. So Jupiter 3, first off, while we had a mission of serving consumers. We also had a major portion of our plan anticipated aeronautical services, as well as other enterprise services. So it ares not a new area. Additionally, the way we designed it was to get as much capacity as possible in key areas across the region and so it does that very effectively. We have -- if you look at the typical in-flight service, probably the biggest obstacle that operations has is serving the hub area cities and that ares where the Jupiter 3 capacity in particular, comes in quite handy for serving them. And if you look at our architecture, we actually utilize all 3 Jupiter satellites, so we have a fabric of capability. So depending on where we are and how much capacity we need to draw on any 1 of the three. And so that ares how we generally build the system, and at the same time, we do have capacity available from some other business partners to help us fill that out in the few areas that we are not covering. So we think we are in pretty good shape with that.
Chris Quilty: Speaking of all three -- Jupiter 3, Spaceway is now past this design life? How is that holding up?
Paul Gaske: Well, it ares within days of being completely decommissioned in the graveyard orbit. So, yeah, it ares been moving quietly across the arc here over the last month.
Chris Quilty: Okay. But clearly not creating any capacity issues given the availability of Jupiter 3.
Paul Gaske: No. No. We drained off all of our subscribers early to make sure they had the continuity of service and so while the Jupiter -- while the Spaceway served us really well, we wanted to make sure customers got the newer services and we move them.
Chris Quilty: Got you. A quick reference, I think, in the transcript, you had mentioned, you were excited about some defense programs. And I missed, it was one tied in with SES. Can you maybe give a little bit more color on that particular program, which -- was it press released? I don’t recall to see it.
Paul Gaske: Yeah. There was a release for it. Yeah. That program is a very interesting one, because the SES defense group has the -- obviously, they have their Empower services, which are MEOs and they obviously have plenty of GEOs. And so we have a modem technology that ares accepted by DoD that we have blended in with some requirements they had to provide this multi-orbit solution. I think they have previously announced this, probably, I don’t know, a month or two ago, I can probably give you a reference at some point. But, yeah, it ares announced, and very interesting, very exciting. It ares a sample of what is going to be happening as we go forward in the defense space.
Chris Quilty: Great. And final question here and you may have already mentioned it in the call, but what is the current timing on both of the antennas for delivery, both the OneWeb and Gogo, any change in sort of the development and production there?
Paul Gaske: Yeah. I think -- first off, I think, I have mentioned in the call here a little bit, this quarter we are shipping the OneWeb antennas. They are going really well. They will leave the factory shortly. Those are the fixed antennas and we will be using those in a number of places, as well as where OneWeb will apply them. And as far as the Gogo antennas go, we are going to leave it to Gogo to respond to the schedules on that. But they -- but the program is going very well, the system looks like it ares performing better than we had thought. So we are very happy with that.
Chris Quilty: Very good. Thank you, gentlemen.
Operator: Please standby for the next question. The next question comes from David Barden with Bank of America. Your line is open.
David Barden: Hey. Thanks so much for taking the questions. I really appreciate it. I guess my questions are for you, Hamid, given that you will be the new CEO of DISH in a week. I’m going to bring up the three things that people really want to know what your perspective is on. Issue number one is, DISH is paying $100 million to extend the time of the option that they have to buy spectrum from T-Mobile in the 800 megahertz band and that ares $3.6 billion and really no one could figure out how that is going to happen from a funding perspective. So if you could have an input on that, that would be great. The second, I think, question is from the S4. DISH just put up a quarter with less than $100 million of EBITDA, but is now projecting more than $2 billion of EBITDA for 2024. How do you plan to make that happen? And then the third question is, DISH was ideally going to be the fourth facility based mobile player in America, it ares been struggling. How are you going to fix it, that would be great? Thank you.
Hamid Akhavan: Thank you. Naturally, I can’t answer any of those questions today. Even unofficially, I don’t have detailed knowledge of any of that yet to the point that I can give you meaningful answers. Listen, I clearly understand that liquidity and cash is prime, prime, prime requirement of the business and a concern of the lenders and equityholders. And I certainly will focus on that, certainly that I do intend to make sure we maximize our use of our capital and not getting the company into deeper need for cash before we can solve the problems and solve the challenges we have. I think there ares a number of avenues that -- during the evaluation of the merger that the bankers had identify and we -- that is at hand that I have had the privilege of seeing as a result of the merger documents, that gives us some room. So this is not without solutions or without room. So certainly, that is there, but I can’t obviously provide any more detail today. Look, as it comes to being a competitive provider in the market. Look, there is -- today there is no way to get into a mobile business anywhere in the world, particularly in a market as sophisticated as large and as expensive as United States, before you spend billions and billions of dollars ahead of time before you can get your first customer? There ares no way. I mean, I have been part of mobile business for the past 35 years, at least, going back to the 1G and 2G and 3G and having significant roles in every single one of those. And I can tell you that you -- the entry -- just the entry point to become a carrier, you got to have vast coverage -- nationwide coverage, a nation the size of U.S., you have got to buy plenty of spectrum to even be considered as viable. And you incur incredible amount of OpEx in terms of leases and backhaul circuits and energy and maintenance and license fees, and you name it, all of those come in before you can get to first customer. I remember when I was in the AMS business, just a very young engineer, we had three or four sales in the neighborhood and we considered ourselves completely in business and we launched our 2G in the U.S. in 13 different markets. each one of them was just a downtown area and that was acceptable for the consumers at that time, that was a luxury. Today, you need to spend $30 billion before you kind of start selling the first mobile phone on your own network. So I think it ares not surprised. There is no surprise that any entrant -- a venture to guess that in many markets, there will never be a new mobile entrant. There won’t be. I mean, DISH may be the last one that enters a big market as a new ground zero entrants, we -- I would venture to guess you are not going to see a new 6G entrant in any market. The time is passing for new mobile entrants to come in just, because the cost and CapEx involved in the infrastructure to begin service is so high. DISH has managed to achieve that. It may be the last one that actually creates that business and that ares my intent to go, give it my absolute best shot for us to make that work. Now we have a number of -- a DISH has a number of attributes that have not yet been made available in a consumable way and that is the 5G infrastructure, which in a consumer world is not as relevant as it comes to more of an enterprise and verticals and special type of operations. And that is an opportunity ahead of us that we need to focus on and make a differentiation in addition to all of the things that EchoStar brings in, which is global and has relevance when we tie them all together. Hopefully, we will disclose all of that strategy and I will be here speaking to you about how that will work as I put the pieces together. But I’m optimistic that the road ahead is much more -- much brighter than it might look, having reached this point that all that cost has been in there, all other expenses in there, but the revenues and other things are yet to come just by design of a new entrant into a market. Hopefully, that gives you a bit of a perspective from a mindset perspective, but I can’t give you any specific on your three areas, just rest assured that they are registered in my mind and I’m not forgetting about any of that.
David Barden: Thank you so much, Hamid, for your perspective. I really appreciate it and good luck and thank you so much for the time.
Hamid Akhavan: Thank you.
Operator: I show no further questions at this time. I would now like to turn the call back to Dean Manson for closing remarks.
Dean Manson: Thank you, Michelle. We are now ready to conclude the meeting and I thank everyone for calling in.
Operator: This concludes today ares conference call. Thank you for participating. You may now disconnect.